Operator: Welcome to Atlantica's Full Year 2020 Financial Results Conference Call. Atlantica is a sustainable infrastructure company that owns a diversified portfolio of contracted renewable energy, power generation, electric transmission and water assets in the North and South America and certain markets in EMEA. Just a reminder that this call is being webcast live on the Internet and a replay of this call will be available at the Atlantica's corporate website. Atlantica will be making forward-looking statements during this call, based on current expectations and assumptions, which are subject to risks and uncertainties. Actual results could differ materially from our forward-looking statements. If any of our key assumptions are incorrect or because of other factors discussed in today's earnings presentation or because of other factors discussed in the Risk Factors section of the accompanying presentation or on our latest -- in our latest reports and filings with the Securities and Exchange Commission, all of which can be found on our website. Atlantica does not undertake any duty to update any forward-looking statements.
Santiago Seage: Thank you very much. Good morning and thank you for joining us today for our 2020 conference call. I will start with a few key messages. We have closed 2020 with a very strong performance across our fleet on a 5.5% CAFD growth versus the year before. In terms of growth, in 2020, we closed over $300 million in equity investments. But more importantly, for 2021, we have already agreed approximately $280 million in new equity investments, including the acquisition of three new renewable energy assets. With this, we are initiating our 2021 CAFD target guidance in the range of $220 million to $240 million. And we are setting mid-term CAFD per share growth target in the range of 5% to 8%. And finally, we have received in the last couple of months top ESG ratings from three different rating entities. I will now turn the call over to Francisco, who will take us through financial results.
Francisco Martinez-Davis: Thank you, Santiago. Good morning. Please turn to Slide #5, where I will present our key financial for full year 2020. Revenue in 2020 reached $1,013 million, stable versus the previous year and adjusted EBITDA including unconsolidated affiliates decreased by 3.1% to $796 million. Regarding CAFD, we generated $201 million in the full year 2020, an increase of close to 6% year-over-year. In addition to our cash available for distribution, in full year 2020, we generated $216 million in one-off cash through three project refinancings. Please now turn to Slide #6, where you can see that in 2020, we have had a very strong cash generation. CAFD was $201 million, but the cash generated by the assets in reality was $461 million. At Atlantica most of our project debt is amortized or repaid over the life of the PPA. $461 million is therefore the cash generated by our portfolio of assets before project debt principal repayments. And now that amount we have used over $260 million to repay project debt principal. Let's now please turn to Slide #7, where we will review our performance by sector and geography. In North America, revenue remains stable at $331 million in 2020. The decrease in EBITDA was mainly driven by higher operating expenses at our solar assets in the region. In South America, revenue and EBITDA increased by 7% and 4%, respectively. Thanks to the continued solid performance of our assets, with higher production from a wind assets and high availability level in transmission lines, and also due to the contribution from recently acquired assets. Revenue and EBITDA in the EMEA region decreased slightly.
Santiago Seage: Thank you very much, Francisco. Page 11 and 12, you're going to see that we have continue doing our homework regarding ESG. We have improved key health and safety KPIs, we have avoided 5.4 million tons of CO2, and we have continued improving on implementing best practices around corporate governance and social activities. Additionally, you will see that we have recently received top ratings from three different ESG rating entities, including in February Sustainalytics, who has rated us again for the second consecutive year as the top company globally in ESG risk rating within both their renewable power under utilities segments, an extraordinary achievement. CDP has given us an A- rating among the leaders in our industry. And finally in January, Atlantica has been included in the global 100 more sustainable companies index by Corporate Knights ranking 12 globally, and second within global power generation. Moving on to talk about 2021, you can see on Page 14 that last year we closed over $300 million in acquisitions and investments. And more importantly on Page 15, we have already agreed investments for around $280 million for these new year. These investments include the acquisition of Coso, a renewable energy asset in California. Calgary District Heating asset we announced a few months ago and our first solar plant in Colombia. We also expect to invest in other assets, including Chile PV 2, which is our second investment through our renewable energy platform locally. Regarding Coso, you can see that it's 135 megawatt facility in California. Actually, it is the third largest geothermal plant in the U.S and provides base load renewable energy to the California ISO. This, we believe, is extremely important. During the last 10 years, renewable energy has been about providing cheap, but intermittent power. Now the challenge is to provide renewable energy solutions that can provide base load or close to base load. And Coso is part of that solution, a state such as California, which targets as we all know zero emissions, and which has already or enjoys already a high penetration of intermittent solar power. Therefore, these asset -- these base load renewable energy asset has, we believe, a very high long-term value in a state that does not want emissions, but needs to turn on the light 24 hours per day. Additionally, the asset has three PPAs signed with three investment grade off-takers with an average 19 years contract life. The asset is located in southern California, fairly close to our existing solar assets in California and Arizona. An operational maintenance is and will continue being done in-house with existing team. Total investment is expected to be approximately $170 million and closing is expected in the first half of this year.
Operator:  You have a question from the line of Julien Dumoulin-Smith of Bank of America. Please ask your question.
Julien Dumoulin-Smith: Hi, good morning. Thanks for the time and the opportunity and congratulations on the update. If I may, Santiago, you talk about 2021 and it sounds like you've largely identified the targets for '21. But where are you in identifying targets for '22 and '23? As you talk about especially your organic opportunities, right, those that sit within your portfolio, how well-defined are those at this point in time, if you can, add some details as to how far down the line you are on that visibility?
Santiago Seage: Sure. Thanks, Julien. Good morning. Regarding 2021, as you said, we are announcing today that the $300 million target I talked about, we are close to getting there. Obviously, for 2021, our target now is to go beyond the $300 million. And regarding disability on 2022 and '23 opportunities, as we show in the presentation, at this point in time, we have a fairly high visibility regarding where growth is going to come from in terms of organic growth, including escalation, including some expansion opportunities, we believe we are going to be having, and including some of other opportunities with partners. Obviously, regarding acquisition from third parties, we always work with a pipeline, and today is too soon to be very conclusive regarding that bucket within growth. But in general, we feel reasonably optimistic and we think that the visibility we have is probably as high as we have ever had.
Julien Dumoulin-Smith: Got it. And if I can ask you to elaborate, I mean, obviously, you got these three buckets. When you think about where you have visibility ready, I mean, like not to try to pin you down too much, but organic growth, I mean, clearly, you've got visibility there for the next few years, you would think. The development with partners, presumably, you can speak to that a little bit more. I mean, doesn't that already get you within the range over the next 3 years? I don't want to be too leading forward in terms of where you sit within this 5 to 8, because you've called it out, but the third-party acquisition seemed to be driving within the range, rather than getting to the range. Does that make sense? And just if you can elaborate on the first two buckets in terms of the line insight and clarity to at least deliver at the low end, I suppose is the way to say that.
Santiago Seage: Yes. So what we are doing today, Julien is we are setting a target in terms of growth or investment of $300 million. That's our target, not $200 million to $300 million, okay? Talking about that $300 million target, you're totally right. So we obviously have more visibility regarding the first two buckets versus the third one. The first two buckets represent more or less two-thirds of the total. So we will have basically those two-thirds. And regarding updates on those two buckets, my expectation, Julien will be that over the next few quarters, we are going to be able to give you more granularity regarding some of the specific investments we are going to be making there. Obviously, we are at the beginning of 2021. So today, we wanted to focus on visibility on 2021. And in the next quarter in the year, we expect to be able to show you some more granularity there beyond some of the opportunities like Columbia that we have already been talking about.
Julien Dumoulin-Smith: Okay. All right. I'll leave it there. Thank you very much. Congrats.
Santiago Seage: Thanks to you Julien.
Francisco Martinez-Davis: Julien.
Operator: Thank you.  There are no more questions coming through on the line, sir.
Santiago Seage: Okay. Then thank you very much everybody for joining -- in joining us. Operator, we can leave it here. Thank you.
Operator: Thank you. That does conclude our conference for today. Thank you all for participating. You may all disconnect.